Operator: Ladies and gentlemen, welcome to AIXTRON’s 2013 Annual Results Conference Call. Please note that today’s call is being recorded. Let me now hand you over to Mr. Guido Pickert, Director of Investor Relations at AIXTRON for opening remarks and introduction.
Guido Pickert: Thank you, operator. Let me start by welcoming you all to our 2013 Annual Results Call. And I thank you for attending this call. My name is Guido Pickert, Director of Investor Relations and Corporate Communications at AIXTRON SE. I would like to welcome our President and CEO, Martin Goetzeler, as well as our CFO, Wolfgang Breme. As the operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or rebroadcast without expressed permission. Your participation in this call implies your consent to this recording. As with previous results conference calls, I trust that all participants have our results presentation slides, Page 2 of which contains the usual Safe Harbor statement. I will therefore not read it out loud, but I would like to point out that it applies throughout this conference call. You may also wish to have a look at our latest IR presentation, which includes additional information on AIXTRON’s markets and its technologies and is available on our website. And as last year, we have again our online Annual Reports available which allows you to look through the Annual Report on electronic basis. This is being immediately presented via webcast or any other medium however, we would place an audio file of the recording, all the transcript on our website at some point after the call. I would now like to hand you over to Martin Goetzeler, AIXTRON’s President and CEO for opening remarks.
Martin Goetzeler: Thank you, Guido and thank you all for joining the AIXTRON 2013 annual results conference call. Let me start by making some general comments about 2013. I will then hand you over to Wolfgang who will go into greater depths on the numbers, then I will wrap up with some comments on the company’s strategy as well as our near-term view on the markets. 2013, proved to be a challenges year for AIXTRON but I look out with some optimism at our future prospects given the gross markets we are addressing. Not to mention, the work we have done over the last 12 months in strengthening the balance sheet and improving the cost structure of the company. At the same time, we have become much more customer oriented not only improving our servicing abilities but also our ability to deliver technological solutions based on the future needs of our customers. Let’s move to slide three, our key financials. For the year ending December 31, 2013 we recorded revenues totaling €182.9 million and an improved EBIT loss of €95.7 million. The overall result for the year is like the mix of restructuring cost and the ongoing REIT business environment. The good news is that there are signs of stabilizations in terms of orders and gross margins and revenues in Q4 were best in four quarters. Additionally, we have successfully reduced our operational expenses to below our targeted €100 million fair enough. Our focus on cash flow resulted in the achievement of an almost neutral free cash flow for 2013 which has enabled us to keep cash levels high. Orders in Q4 came in at €37.1 million and we are slightly ahead of the previous quarter and the same quarter last year. Also, this is still a low level of orders. It does give us some confidence that we have reached the bottom of the current and leading cycle. In addition, we are seeing a strong pick-in in end customer demand for LEDs as well as increasing utilization rates at many of the LED producers. That being said, it was slightly higher in Q4, order levels remained at trough levels and it is not clear when exactly they will pick up significantly. Encouragingly, Q4 was our best quarter in 2013, with revenues increasing from €46.2 million in Q3 to €51.1 million in Q4. As the previous quarter, Q4 was influenced by a series of unusual items, excluding those, our clean gross margin would have been 32%, which was an improvement over the 27% which we achieved in both Q3 and Q2. Our clean EBIT came in at minus €8.2 million, which marks a significant year-on-year improvement. Please turn to slide 4, our 5-point-program. The large part of my focus in 2013 was enhancing the trust of all of our major stakeholders. This is why we kicked off our 5-point-program in the first half of last year. Those points include first, focus on customer benefits, second, utilization of technology and product portfolio, third, processes for attention to clearly define financial targets by strengthening of expense management and corporate culture. And the good news is that we are seeing the initial impacts of those ongoing activities. Let me summarize those initial positive impacts. First and foremost, we are much closer to our customers than we were. We are better able to support their immediate needs as well as their future needs, thanks to our increased onsite customer support performed by our technical tier count managers. Additionally, we are keeping a more intensive and personal contact to our customers at all levels. I’m convinced that the trust of our customers will be the key to the success of AIXTRON going forward and we are on track. Secondly, we thoroughly we evaluated our product portfolio and are now in a situation where we better understand the market opportunities that we can tap into the future. We have made significant progress in managing our technology pipeline more effectively and are firmly focused on the closed loop of technologies, which we think shall put market potential for us. These core technologies include less organic LEDs, next generation silicon, semiconductors, power electronics and carbon nanostructures. Our goal is not only to take these technologies with our clients to market, but also to intensify the synergies between the various technologies. Thirdly, we have been strongly focused on optimizing our processes. We have developed a new product development process which we are rolling out. We have also started a supply chain project which shall for instance allow us to focus the lead time for components as a result of much closer corporation with our suppliers. We have already seen initial improvements in the lead tests. In the final space, we are firmly focused on returning as quickly as possible not only to profitability but also to sustainable profitability. This implies two things, the focus on ongoing type cost control but also not losing sight of the need to invest in future technology. This is something that requires a fine balance and I think we have done a very good job on both fronts. We have reduced our team operating cost base without unusual items by over 20% to below €100 million while at the same time continuing to enhance our product portfolio by developing the identified and selection pioneering technologies. And last but not least, there has been a positive change in the culture within AIXTRON and also this is an ongoing process of our communication and decision making process is already much improved. As an example, in order to shorten the distances between our people in Germany, we have consolidated our locations in Germany and moved it – and moved into our modern technology and operation center. This consolidation marks another step in increasing our efficiencies and enhancing our internal communication. Finally, 2013 was not an easy year for AIXTRON stakeholders. We have to reduce our workforce by 20% and there have been many changes in the company and with our supplier and the customer relationships. And to care with all the stock price was volatile. That being said, we are on the right path and we are improving trust in our relevant areas. This can be clearly seen, the confidence that investors showed back in October by investing under €1 million of new equity capital into AIXTRON. This capital will be used to enable us to invest in the exciting new technologies in the coming years. Let me now hand you over to Wolfgang Breme, our CFO for a more detailed overview of the numbers. Wolfgang?
Wolfgang Breme: Thank you, Martin and hello to everyone on the call. Let me start with revenues and orders on slide 5, our income statement. Revenues for 2013 came in at €182.9 million down 20% on the previous year’s revenues of €227.8 million, and with a clear exception of the weak demand environment for LED equipment. On a quarterly basis, revenues for Q4, 2013 at €51.1 million remained at trough level, although there were 11.4% ahead of the €46.3 million we generated in the previous quarter. Equipment revenues in 2013 were €138 million representing just over 75% of total revenues with the remaining coming from spares and service. Our largest market was in the equipment is still LEDs which comprised 39% of revenues last year €54 million with the next largest being physical equipment which grew by more than 50% year-on-year to €30.8 million in revenues. On a regional basis, 78% of total revenues in 2013 were generated by sales to customers in Asia, with Europe representing 13% and United States 9%. These levels were similar to 2012. In 2013, AIXTRON generated €133.2 million of new orders, which was marginally above the €131.4 million achieved in 2012. In Q4 order levels, at €37.1 million were slightly ahead of the previous quarter’s €35.7 million but was still at subdued levels. This weakness is also reflected in our equipment order backlog of €59.6 million as of the end of the last year. This was 25% lower than the €79.4 million we had in place at the start of 2013. The slight positiveness that LED orders have picked up throughout the year and OLED equipment order backlog at the start of 2014 at €36.3 million is 29.7% higher than a year ago. But again, these orders remain at low levels. Moving to earnings. On the gross profit side, we generated a loss for 2013 of minus €7.4 million which was largely a restriction of various inventory write-downs over the course of 2013 but also weak pricing. For Q4, gross margins reached 34% which was the highest level in over eight quarters and it’s mainly a reflection of a more favorable product mix. For the full year 2013, operating costs were €88.3 million which was 33% lower than 2012 then our operating costs totaled €132.7 million. These operating costs include insurance settlements and other unusual items such as the write-down of our facility and restructuring related expenses. More specifically, we managed to reduce SG&A costs in 2013 to €47.2 million down from €54.4 million in the previous year. At the same time, we developed a much more focused R&D approach and pushed efficiency gains in this area. As a result, we were able to decrease R&D expenses to €57.2 million down from €72.9 million in the previous year. The operating result for the year, although still minus at minus €95.7 million was €36.6 million ahead of the 2012 operating loss of minus €132.3 million. Total taxes for 2013 were €5.8 million and came mainly from country specific tax expenses. The net result for 2013 was a loss of €101 million which was better than the €145.4 million loss we recorded in 2012, that is still at unacceptable levels. These losses are a reflection of the very intensive restructuring process, we have been through as well as the continuing weakness in our major markets. In Q4 2013, we generated a net loss of €14.8 million, which was better than the loss of €43.2 million we had in the same quarter in 2012, below that of the previous quarter that you achieved positive net income of €1.6 million. Let’s say for Q3 2013 is not a good comparison because it was impacted by some unusual items that were booked in that quarter which boosted earnings. The year-on-year improvement is a reflection of first positive impact from the 5-point-program. With regard to cash, we generated €8.2 million in cash inflow from operating activities in 2013, as opposed to a cash outflow of €45.2 million in 2012. This increase in operating cash flow last year was mainly caused by insurance proceeds of €22.5 million resulting from a fire in a third party warehouse and ends the successful sale of goods out of excess inventory. The latter can be clearly seen in the reduction inventories over the course of the year. At the start of 2013, we had inventory levels of €126 million, by the end of the year we have managed to reduce this to much more sustainable €66.2 million. We did this in two ways, by improving our cash generation from this asset as well as making some inventory write-downs. Let me now move to slide 6, which shows our balance sheet. Despite the poor results, AIXTRON has a solid balance sheet with €306.3 million in cash and cash equivalents, no financial debt and an equity ratio of 83%. Cash and cash equivalents actually increased by €96.9 million on the previous year’s €207.4 million. Finally, let me thank our investors who showed their trust in all of us at AIXTRON by subscribing to our recent capital increase which generated gross proceeds of €101 million in cash. We reduce these proceeds from the capital increase to support R&D and investments, further leverage AIXTRON’s technological leadership, while at the same time selectively investing in growth areas such as power electronics, organic LEDs and implications for the silicon semiconductor industry. In addition, the capital increase has given us further financial flexibility by strengthening our balance sheet. With that, let me pass it back to Martin. Thank you.
Martin Goetzeler: Thank you, Wolfgang. Let me start by giving you my view on the longer term prospects for a strong report taking a closer look at the near term. AIXTRON has for over 30 years represented hi-tech and innovation. This has been the quote of our success and it will continue to be so. This is why we need to invest in new growth technologies where we see significant opportunities to generate substantial shareholder value in the coming years. The end market for our biggest market LEDs who significantly in 2013 driven by increasing demand in general lighting applications while demand in the TV market remained strong. According to the market research institute IHS from December 2013, the global market for general lighting LEDs is expected to grow from 495 million shipped units in 2013 to 3.6 billion shipped units in 2020. The penetration of LED lamps relative to total lamps is expected to rise from 3% in 2013 to 31% in 2020 supported by the increasing availability of attractively priced quality led lighting products. And we are seeing substantial growth in end-user demand for LEDs. A leading company in lighting Philips recently reported that LED sales were up 48% compared to the previous year. And we are seeing LEDs in our shops at really competitive price points in various regions. In addition, tier 1 and 2 LED producers across the globe are operating at high utilization rates, 70% to 90% and above and their profitability is improving. However, despite being optimistic about the future, they are also cautious about adding capacity and what we have been seeing for months now is small orders. This is clearly a product of the last positive on this part of the reason why we think the next LED up-cycle will be less steep than the previous one. And will instead be a longer and a more sustainable multi-year event. I want to emphasize that AIXTRON is very well positioned for the coming LED up-cycle with its solid technology offering, a strong local footprint in all of our customer markets, could design as well as much improved service offering and relationships into all the key manufacturers. Besides our core market, LEDs, we believe that AIXTRON has substantial opportunities in the OLED arena. This technology is already being used from certain smartphones as well as high-end TVs. We believe the market potential is substantial and we are in the process of scaling our technology up to industrial levels. We are also convinced that our OVPD and PVPD technology solutions combined with the expertise of other industry players will allow us to gain substantial traction in the OLEDs market in the coming quarters and years. Another area of focus is silicon semiconductor. One of the most interesting spaces within this area is equipment for the production of memory which we believe is fueled by structurally growing demand due to the need to store ever-growing amount of data, driven by the demand of every increasing digital growth. With our ALD deposition technology solution, we are production qualified with one major memory producer and are in relation at to others. Another pocket of growth for the next decade is power electronics, driven by the growing demand for energy efficient products, these are for customer applications such as mobile phones or industrial applications such as motors. With this projected robust growth and into the markets, we believe that AIXTRON has a very real opportunity to significantly increase equipment sales in this area in the coming years. Lastly, we are also active in carbon nano-materials which also at an early stage hold significant potential. Our tools already enable our customers to manufacture next generation materials such as Grapheme and carbon nanotubes. And we are leading the production package of the large U R&D project on Grapheme. Moving to the near term, the major short-term driver for our business will be the speed of adoption of LEDs within general lighting. The faster the adoption, the quicker LED producers will have to expand production. That exact timing and the speed of pick-up is difficult to predict due to our limited visibility. From where we now stand, we see revenues for 2014 being in line with source of last year and concurrently we see the company not being profitable on an EBIT basis over the course of the year. To summarize, let me highlight the most important point. Using the 5-point-program as a basis, we have been able to start setting the course for the company’s return to profitability and its competitiveness by creating new structures and optimizing specific processes in 2013. We will continue to stick to this path. The first success can already be seen in the improvement of important key performance in the indicators. At the same time, we have consistently invested in research and development and initiated new products in order to optimally position the company around important markets for the future. Finally, let me remind you that AIXTRON continues to be supported by a strong balance sheet with no debt and €306.3 million in cash and cash equivalents at the end of Q4. And with that I will pass it back to Guido before we take some questions.
Guido Pickert: Thank you, Martin and Wolfgang. Before we take questions, could I ask everyone as always to limit your questions to a maximum of two each time. This will allow everyone a chance to have their questions answered. Thank you. Operator we’ll now take the questions.
Operator: (Operator Instructions). And the first question comes from Adrian Pehl, Equinet Bank. May we have your question please?
Adrian Pehl – Equinet Bank: Yes, hi gentlemen. Good afternoon. First of all, a question on your inventory level; actually, that has not much changed relative to the Q3 period. I was wondering whether you could share with us a number of tools that you still have in stock, which you described as excess inventory. And the next question is on, if you are so frank to share with us, the quoting activity. Have you seen any kind of changes in the recent periods that suggest that we should expect a better environment in LED, driven by general lighting? Thank you.
Martin Goetzeler: Good afternoon, this is Martin Goetzeler speaking. Let me maybe answer first question – the second question first. Maybe one comment on this, the full year guidance clearly reflects also our obligation according to German law, to publish full-year guidance. As visibility remains very low for us, and we currently have no evidence of a meaningful increase of orders, this actually let us to guide on flattish revenue development on 2014. As we already mentioned and during, as I already mentioned in my speech for those in previous calls, clearly the situation – the positive development of the lighting cycle is something which we’re observing very closely and as we already mentioned we will see an improvement here going forward due to the different applications which will move into LED. And as I also mentioned we have many applications, we have many regions which move also at different times. So what we always said is we’ll be over longer period and maybe not a boom in vast cycle. And that’s something which we continue to speak for. It’s still difficult to talk about the timing of this – of the increased demand. And that’s exactly reflected in what we said. Now I’ll turn over for the first question to Wolfgang.
Wolfgang Breme: I feel, coming back to the inventory question, you are right. There was not a big movement I think in the last two quarters, Q3 and Q4. Let me reiterate the big step-down, what we have done in evaluation of our inventory we have done in our Q1 accounts, where we took – brought the inventory down to the levels we have today but there are no changes between the quarter, mainly comes by the fact that product mix is changing from quarter to quarter. So, we are not always able to serve the markets with just our inventory on stock. Another effect is of course that incidents like the fire and other also – due to the fact that we have to replenish our stocks in certain regions, in certain product areas as well. So, we cannot expect that we will see a constant increase of stock as we move forward. And we believe that the current levels of stock between €60 million and €70 million are a good reflection of our current business volumes.
Adrian Pehl – Equinet Bank: Okay. And I should take that as you have probably done quite some way to sell off the excess tools that you had in inventory, right?
Wolfgang Breme: Yes, you can be sure that we are trying hard to do that.
Adrian Pehl – Equinet Bank: But there is still some left is that correct?
Wolfgang Breme: Maybe you will understand that we are not disclosing the full detail of our inventories here. But of course we use the excess inventory as I said in my part of the presentation.
Adrian Pehl – Equinet Bank: Okay, understood. Maybe just a quick follow-up before I jump back into the queue. Actually, what kind of demand level would trigger the launch of a new generation tool for LED lighting? And should we expect this probably in the next couple of quarters?
Martin Goetzeler: I think what is important to say, we have technology roadmap and the product roadmap for each of our products. And therefore, clearly we consider the cycle and the business but these are all somehow medium to longer term also driven. Therefore it’s not really related to short-term – to the short-term. However, I think I already mentioned also in our last call, we are clearly working on the new tool, new general external tool and we will inform you as soon as we launch officially.
Adrian Pehl – Equinet Bank: All right, thank you.
Martin Goetzeler: Thank you.
Operator: The next question comes from Andrew Huang, Sterne Agee. May we have your question please?
Andrew Huang – Sterne Agee: Thank you. I guess my first question is, when you talk to the LED chipmakers maybe you can give us a sense of their enthusiasm today compared to four years ago before the LED TV cycle took off?
Martin Goetzeler: Yes, I have to admit that I was not in this job four years ago. So, I can only assume what was four years ago, but what I hear from them today is basically that they see their opportunity clearly in the lighting area and basically all of our customers currently grow to let’s say, most of our customers really grow now in the lighting area. That’s a focus and that’s what also they are looking into. And therefore, that’s where we also see the opportunity. So, it’s clear that they also – as we also see the opportunities with the swift competition to LED lighting.
Andrew Huang – Sterne Agee: Okay. And then my follow-up question is on the new tool that’s about to come out. I guess my question is, there’s right now it seems like there’s relatively limited demand for tools, so is it worth it for you to come out with this new tool – release this new tool, or should you wait until see greater evidence that demand is going to strengthen?
Martin Goetzeler: For us it’s important that we basically execute on our cycles and also on our product roadmaps. And we are working here in not in the short term but also in the kind of mid-term, if Lehman was our key customers. And that’s something which we have to consider. And that’s also basically the key part of our product strategy. Important is also that if the market takes off that we are prepared with the new product for its pick-up and then we also have at the right point in time, the right too able. So it’s – first thing you have to consider these four sectors.
Andrew Huang – Sterne Agee: Thank you very much.
Operator: The next question comes from Chetan Udeshi, JPMorgan. May we you’re your question please?
Chetan Udeshi – JPMorgan: Hi, thanks for letting me ask questions. A few questions, a couple of them. Firstly, can you tell us what your view is, in terms of improving utilization at your customers? Is it more concentrated on only Tier 1 customers or do you see improvement across a broad range of customers? And secondly, based on your conversation with your customers, what do you think would be a trigger for them to start investing? As you already said, some of your customers are already seeing high utilization, but they are not necessarily starting spending CapEx as such, so what do you think would be a trigger? And just final question would be on pricing dynamics. With most of your old tool inventory now cleared, how do you see pricing environment for this year? Thank you.
Martin Goetzeler: First of all, what is the situation with the customer? So, basically if you look at the tier 1 dimension, 70 to 90 overall for tier 1 and tier 2, and above. If I look at the tier 1 with my list of tier 1 they are clearly higher than the 70, so they are more in the area of 80, 85 to 90 and partially above. So there is clearly a differentiation. What would trigger their purchases, and I mentioned before that we see some activity but the scale of the ores is different to the TV sector, we had before the question on the TV sector. So, the volumes which are broad are now in the range of let’s say four or a couple of towards maybe 12 or so, but not the 50 we have seen in the TV sector. So, basically based on what I said before was the several inflexion points in lighting that really adds on an incremental basis but regular whenever they get to higher utilization rate. And this can clearly pick-up at a certain point if it’s a penetration rates in lighting increase or accelerate. Pricing, I think we talked about this in several of our calls. The pricing pressure came from the subdued market demand. The competition for every single order is high and Wolfgang before did not say that we sold off all inventory hedges only to make that clear that this was not said in this call. But going forward we expect higher prices particularly with an upgraded version of our existing generation or with the mixed generation tool. And to be clear, it’s definitely necessary in order to keep up the pace of innovation.
Chetan Udeshi – JPMorgan: Thank you.
Operator: The next question comes from Guenther Hollfelder, Baader Bank. May we have your question please?
Guenther Hollfelder – Baader Bank: Thank you. What are you hearing from LED chipmakers, is that there’s increasing activity in larger wafer sizes. So could you remind us in your services and spare parts business, what is for you the sales potential from such an upgrade to a larger wafer size for a tool? Thank you.
Martin Goetzeler: We agree, we see the shift to larger wafer sizes. So meaning move from two to four, a couple move from four to six inch, but it’s more like the – let’s say the tier one is looking into this. We actually do not disclose information on the upgrade kits. So, basically and I’m not so really sure this is really a meaningful for you. For us it’s important to manage exactly these transitions and to support the customer where it makes sense. On the other side, it’s also important for us to offer to the customer’s tools which have significantly higher productivity with smooth generations, next generations which also at least make some look into this new opportunity, mutually.
Guenther Hollfelder – Baader Bank: And concerning the inflection point for a new investment cycle, I think in the past quarters one of the issues were higher yields, higher output, related to improved process control, also to maybe larger wafer sizes, special wafers and so on. Do you think we have any visibility when this yield improving our output increasing process will be over, or do you think it’s very difficult to say how long this process could prevent customers from ordering new tools?
Martin Goetzeler: Yes, thank you for this question. I think we should look into this tool by tool, whenever new tool comes online, it clearly – the expense curve is higher. But basically the yield takes some time in order to get to the highest level and then it comes into let’s say digression phase where the improvement are not at the same levels. So, the older the part is you have those tools the basically the lower the potential yields are. I would like to mention maybe one more aspect, what our customers are also focusing on is clearly the aspect of not just yield in general but improved brightness and better protraction towards special bins so that you could use really to those levels of bins where you also get your highest margins. So, there are several aspects our customers are pushing for, not just to increase the yield per say but also to increase the yield by bin. And therefore improve also their average margin.
Guenther Hollfelder – Baader Bank: Thank you.
Operator: The next question comes from Jed Dorsheimer, Canaccord. May we have your question please?
Jed Dorsheimer – Canaccord: Yes. Thanks for taking my question. It’s really around the new tool. I mean, it’s fairly clear that your market traction is waning as a result of the higher cost of ownership, given the greater downtime associated with your tools. So do you have any timing expectations in terms when you will be announcing your new tool? And then could you also provide any color as to whether or not you’ll actually fix or automate your service, your downtime that might help you from losing more market share?
Martin Goetzeler: I would say that first of all I think our – what we – where we are really working hard on and what we are doing is exactly what you said, that we are continuously improving the TCO for our customers, total cost of ownership by improving the tools towards the productivity uptime. And also service-ability partner, cost of pods and so on. So, this is clearly our major task and this is what we also addressed in our 5-point-program over the last couple of quarters, extensively. And I think now we can say we are in a much better position than compared to nine months ago, because we have here in our solid technology offering. And we also have an improved service offering and also the relationships to our customers I think is much better, also the trust of our customers and our products. And that’s I think we also see that now in the marketplace. And that makes us believe that we are – that we are for a stronger presence in the next LED up-cycle.
Jed Dorsheimer – Canaccord: Sure, I appreciate the answer. But it seems as if your competitor has a beta tool out there for a new generation, so they continue to move the bar in the comparison, in terms of the TCO. You had mentioned a new tool, and I haven’t seen any, or heard of any beta tools of yours out there in the market. So I was wondering if you could update us on timing, as it seems as if some of your market commentary may be skewed by the fact that – due to this TCO issue?
Martin Goetzeler: To be honest, I think we will not discuss this now about our new tool. But I think there might be some information in the market that also AIXTRON is coming as a new tool. And therefore I think it might be useful also to get this information. I will not confirm this before we officially launch the product.
Jed Dorsheimer – Canaccord: Okay. Thank you.
Martin Goetzeler: Thank you.
Operator: The next question comes from Tammy Qiu, Berenberg. May we have your question please?
Tammy Qiu – Berenberg: Hi, thank you for taking my question, I actually have a question related to your Chinese market actually. First thing is do you have any visibility regarding the over-capacity issue in the Chinese market? And also second thing is, if you are talking about the pricing environment might be better with your new generation tools. But if you start to charge something like €2 million per chamber would that actually give your Chinese competitors a chance to go into the market, given they can price more aggressively compared to your cost structure?
Martin Goetzeler: Your first question was regarding Chinese competition or in general?
Tammy Qiu – Berenberg: In general, Chinese capacity, I would say, the over-capacity issue.
Martin Goetzeler: Chinese capacity?
Tammy Qiu – Berenberg: Yes, yes, yes.
Martin Goetzeler: Okay. Yes, I think what we see in China right now is what also we can as confirmed over the last quarters is that we have an increased utilization of – or basically most of the players now in the market. And you know, they are up to 50 and maybe 10 with a significant capacity. Nevertheless, it’s difficult for me to such to answer this question how much of this capacity is really today fully used. But we see that it’s improving and it’s increasing the utilization. Considering the pricing going forward, you can imagine that for us, clearly we always look into the market prices and we work not just on the quality and the throughput and the total cost of ownership for our customers but we also have initiatives on design to cost in order to keep our cost position for each tool competitive. So it’s basically both areas where we work on when we look at the gross margin it’s one side the pricing but the other side also our product costs.
Tammy Qiu – Berenberg: Okay, so does that mean actually you won’t charge a lower price to make it compete-able with your Chinese peers with your new generation tools, just to secure your level of margin?
Martin Goetzeler: So, what we – we didn’t see it qualify Chinese competitors, yes. But I have to say, I always have great respect for new entrants into the market. We see the various for entry remain high. Nevertheless, I think for us it’s important that we focus on our strength. And that means we have to continue to build on our 30 years of experience and our strong R&D commitment in order to drive innovations that then would result in higher and better quality and also the lower cost to all our customers.
Tammy Qiu – Berenberg: Okay, thank you.
Guido Pickert: Thank you very much to our listeners and participants at the call. At this point we’ll have to wrap up the AIXTRON Full Year 2013 Earning Call. Thanks for joining us and for your questions. If you have any additional questions, please don’t hesitate to contact either our IR Team in the U.S. or us here in Germany. Thanks for your interest. And talk to you soon. See you next time. Bye.
Operator: Conference recording has stopped.